Operator: Good morning and I will now turn the call over to Scott Parsons, Alamos's Senior Vice President of Investor Relations. Please go ahead.
Scott Parsons: Thank you, operator, and thanks to everybody for attending Alamos' First Quarter 2024 Conference Call. In addition to myself, we have on the line today, John McCluskey, President and Chief Executive Officer; Greg Fisher, Chief Financial Officer; Luc Guimond, Chief Operating Officer. We will be referring to a presentation during the conference call that is available through the webcast and on our website. I would also like to remind everyone that our presentation will be followed by a Q&A session. As we will be making forward-looking statements during the call, please refer to the cautionary notes included in the presentation, news release, and MD&A as well as the risk factors set out in our Annual Information Form. Technical information in this presentation has been reviewed and approved by Chris Bostwick, our Senior VP Technical Services and a qualified person. Also please bear in mind that all dollar amounts mentioned in this conference call are in U.S. dollars unless otherwise noted. Now, John will provide you with an overview.
John McCluskey: Thank you, Scott. We had a strong start to the year across a number of fronts, following up on record performance in 2023. Production of 135,700 ounces exceeded quarterly guidance, led by record production from La Yaqui Grande. Costs were consistent with the guidance for the quarter and are expected to decrease through the remainder of the year. We are well positioned to achieve our full year production guidance and cost guidance. With solid operational performance and higher gold prices, we generated record quarterly revenue of $280 million and free cash flow of $24 million net of $45 million in cash tax payments in Mexico. We continue to generate strong ongoing free cash flow while funding the Phase 3 plus expansion at Island Gold. In addition to delivering operationally and financially, we are also creating value in a number of ways, most notably through our acquisition of Argonaut Gold. Turning to Slide 4. In March, we announced the friendly acquisition of Argonaut and its Magino mine located adjacent to our Island Gold Mine. Given their close proximity, we'll be combining the operations to create one of the largest, lowest cost and most profitable gold mines in Canada. The integration of the two mines is expected to unlock significant value, including pretax synergies of $515 million. In addition to the synergies, the acquisition is accretive across all financial and operating metrics. Through the expansion of a single optimized milling complex, there is also significant longer term upside potential at both operations. The addition of Magina will make Alamos a stronger company and enhance our unique position as a growing Canadian focused intermediate producer with declining costs and one of the lowest political risk profiles in the sector. Slide 5 highlights the close proximity of the two operations. The two deposits are less than 300 meters apart and the incremental haul distance from the Island Gold shaft to the Magino Mill is two kilometers. By utilizing the larger centralized mill and tailings facility at Magino, the mill and tailings expansion at Island Gold will no longer be required, providing capital savings of $140 million over the life of the mine. The larger and more efficient centralized mill will result in lower processing costs as well as lower consolidated G&A for the combined operations. We expect this to provide annual savings of $25 million or $375 million over the life of the mine with further upside as both deposits grow. With three operations in Northern Ontario in close proximity to each other, we expect to realize increased purchasing power for consumables. We also expect to benefit from Magino's significant tax pools that can be used to defer any meaningful cash taxes payable in Canada by three years to 2028. Over to Slide 6. The addition of Magino complements our existing asset base and enhances our strong outlook. Magino will increase our current rate of production by more than 20% to over 600,000 ounces per year. The Phase 3 plus expansion at Island Gold, once completed in 2026, will drive our annual production closer to 700,000 ounces and help decrease all in sustaining costs below $1100 per ounce. Longer term, through the development of Lynn Lake and PDA, we have the capacity to increase our rate of production to over 900,000 ounces of gold a year. We will also be evaluating additional upside potential at both Island Gold and Magino through a larger expansion of the Magino mill. This represents nearly 80% growth from current levels, providing Alamos with one of the best growth profiles in the sector. Nearly all of this growth is coming from Canada. It's lower cost and it's sustainable given the long-life mines, which averaged 15 years. We continue to demonstrate our long-term track record of value creation through exploration and M& A during the quarter. Magino is an excellent example of our near-term value creation. The acquisition of Orford Mines and its Qiqavik Gold Project located in Quebec is also a good example of our focus on longer term value creation opportunities. The transaction closed earlier this month providing us with an attractive exploration stage project in a great jurisdiction. In February, we announced our updated reserve and resources with growth across all categories as we continue to add value through exploration. Reserves have now increased for five consecutive years to nearly 11 million ounces for a combined increase of 10% with grades also increasing 9% over that timeframe. With our largest exploration budget ever planned for 2024 at $62 million we see excellent potential for that track record of success to continue with multiple exploration updates expected throughout the year. We expect to deliver on several other catalysts through the year, including completing development plan for the growing higher grade PDA project later this quarter. We are also working on a study incorporating the Burnt Timber and Linkwood satellite deposits into the Lynn Lake project. These deposits represent upside to the 2023 feasibility study that we expect to outline towards the end of the year. I'll now turn the call over to our CFO, Greg Fischer, to review our financial performance.
Greg Fisher: Thank you, John. On the Slide 8, in the first quarter we sold 132,800 ounces of gold at an average realized price of $2069 per ounce for record quarterly revenue of $278 million. Total cash costs of $910 per ounce and all-in sustaining costs of $1265 per ounce were both above annual guidance, but consistent with our guidance for the quarter. All-in sustaining costs were also impacted by higher share-based compensation reflecting the increase in our share price during the quarter. Costs are expected to trend lower through the year to be consistent with full year guidance reflecting lower costs at both Young-Davidson and Island Gold. Our reported net earnings of $42 million in the Q1 or $0.11 per share included unrealized foreign exchange losses of $5 million recorded within deferred taxes and foreign exchange and other adjustments net of taxes of $5 million. Excluding these items, our adjusted net earnings were $51 million or $0.13 per share. Operating cash flow before changes and noncash working capital was #135 million or $0.34 per share. Free cash flow totaled $24 million, an impressive performance given this was net of $45 million in cash taxes as well as ongoing spending at the Phase 3+ expansion at Island Gold. The majority of the $45 million of cash taxes paid in the quarter were related to the 2023 year-end tax payment in Mexico given the strong profitability of Mulatos last year. We expect cash tax payments to decrease to approximately $10 million per quarter through the rest of the year related to 2024 tax installments. With lower cash tax payments starting in the second quarter combined with declining costs, we expect stronger company wide free cash flow through the remainder of the year, while continuing to fund our growth initiatives. Capital spending totaled $85 million in the quarter and included $27 million of sustaining capital and $52 million of growth capital, the majority of which was focused on the Phase 3+ expansion. Our balance sheet continued to strengthen in the quarter with our cash balance growing 7% from year end to $240 million and we remain debt free. Following the expected closing of our acquisition of Argonaut in July, we will be inheriting approximately $275 million of their debt. We have more than sufficient capacity for this debt within our currently undrawn $500 million credit facility at significantly better terms. Given our existing cash position, we will maintain one of the strongest balance sheets in the sector. Combined with our strong ongoing cash flow generation, we will have more than enough financial capacity to continue to internally fund our growth plans including the Phase 3+ expansion and development of both PDA and Lynn Lake. I will now turn the call over to our COO, Luc Guimond to provide an overview of our operations.
Luc Guimond: Thank you, Greg. Moving to Slide 9, Young-Davidson produced 40,100 ounces in the quarter with total cash costs and all-in sustaining costs both above annual guidance. Production and costs were impacted by a temporary downtime to replace the head ropes at the Northgate shaft, which have been scheduled for replacement in the second quarter. Mining rates were also impacted by delays in receiving two production scoops. The completion of the head rope change and receipt of the two new hybrid production scoops, mining rates were back to design capacity of 8,000 tonnes per day in March. Grades mined were also impacted by the lower mining rates, which delayed access to higher grade both from March into April. Grades mined are expected to return to guided levels in the Q2 and through the rest of the year. Mine site free cash flow totaled $15 million in the quarter with higher production, lower costs and stronger free cash flow expected through the remainder of the year. Young-Davidson is well positioned to meet its full year guidance and generate over $100 million in mine site free cash flow for the fourth consecutive year. Over to Slide 10, Island Gold produced 33,400 ounces in the quarter with total cash costs and mine site all-in sustaining costs above annual guidance. Grades mined were in line with guidance while tonnes mined and processed were slightly below guidance. Both mining rates and grades are expected to increase in the second quarter and with higher production and lower costs expected through the rest of the year, Island Gold remains on track to meet its full year guidance. Mine site free cash flow was negative $14 million in the quarter as the operation continues to fund the majority of the Phase 3+ expansion, as well as a significant ongoing exploration program. Over to Slide 11, we continue to make progress on the Phase 3+ expansion. The shaft sinking is well underway having increased to a rate of 2.5 meters per day in March and reaching a depth of 185 meters by the end of the first quarter. We expect the ramp up to the ultimate sinking rate of over 3 meters per day during the second quarter and are on track to reach a depth of 1,000 meters by year end. Detailed engineering of the paste plant is now 85% complete with construction activities expected to begin in the second half of the year. One of the attractive aspects of the Magino acquisition is gaining access to an already constructed larger mill. As such, work on the Island Gold Mill expansion is no longer required, further derisking the Phase 3+ expansion and contributing to the $140 million in capital synergies we expect to realize. Over to Slide 12, as of March 31, approximately 57% of the total initial capital of $756 million had been spent and committed and we remain on track to complete the expansion during the first half of 2026. Capital spending for the work completed to date is tracking well. However, we are continuing to see some cost pressures through the ongoing labor inflation. Following the expected closing of the Magino acquisition in July, we will provide updated capital estimates with the Island Gold Mill expansion no longer required and incorporating our planned upgrades to the Magino Mill. Moving to Slide 13, we will continue to use our current mill to process Island Gold ore for the remainder of this year. In parallel, we will continue to ramp up and optimization of the Magino Mill to a targeted rate of 11,200 tonnes per day by year end, which will be sufficient to handle ore from both Magino and Island Gold. At that point, we plan on shutting down the Island Gold Mill and processing Island Gold's higher-grade ore through the Magino Mill at significantly lower processing costs. In 2025, we will work on further optimizing and expanding the Magino Mill to 12,400 tonnes per day to accommodate the higher throughput rates from Island Gold, once the Phase 3+ expansion is complete in 2026. As in the case with the Island Gold Mill, we will no longer need to expand the Island Gold tailings facility. The tailings facility at Magino has a permitted capacity of 150 million tonnes, which is more than sufficient to accommodate Magino's reserves and Island Gold's growing reserve and resource base. In addition to the significant synergies, the larger centralized Milling Complex will create longer term opportunities for further expansions of the combined Island Gold and Magino operations. The Magino processing facility has a nameplate capacity of 10,000 tonnes per day. However, expansion scenarios to increase capacity to between 15,000 and 20,000 tonnes per day are being evaluated. Over to Slide 14, production from the Mulatos district totaled 62,200 ounces exceeding expectations, driven by record production of 50,000 ounces from La Yaqui Grande. The outperformance was driven by higher stacking rates of 10,800 tonnes per day and recovery rates well above annual guidance as the operation benefited from the recovery of higher-grade ore that was stacked in late 2023. Costs came in below the annual guidance range due to the higher contribution of low-cost production from La Yaqui Grande. With lower grades expected at La Yaqui Grande through the remainder of the year, costs are expected to increase to be consistent with annual guidance. Mine site free cash flow totaled $50 million in the quarter, an impressive result considering this was net of $45 million of cash tax payments. With that, I will turn the call back to John.
John McCluskey: Thank you, Luke. That concludes our formal presentation. I'll now ask the operator to open the call for your questions.
Operator: [Operator Instructions]. The first question is from Mike Parkin from National Bank. Your line is open. Go ahead.
Mike Parkin: Hey, guys. Thanks and congrats to the strong start to the year. On the La Yaqui Grande, I guess that your stacking rates are exceeding budget, but are you also continuing to see any sort of positive grade reconciliation that's leading to these really impressive numbers?
Luc Guimond: Hi, Mike. It's Luke here. Yes, we are still seeing some positive reconciliation with regards to the model relative to our actual results. We have actually provided -- we have done more detailed drilling within the ore reserve base as well to be able to tighten up that prediction on the basis of what we expect to get versus what we're actually getting. So we are still seeing some positive variation on the grade, but not as significant as what we were seeing last year.
Mike Parkin: Okay. Are you seeing additional like positive tonnage reconciliation to the block model as well?
Luc Guimond: Yes, we are also experiencing that as well bench by bench. We are picking up a little bit more ore relative to what we had modeled. So that's also providing a positive as far as the results to La Yaqui Grande.
Mike Parkin: Okay. And then staying in the same jurisdiction there, I remember correctly kind of putting the legacy sulfide stockpiles on the heap on pause. But with gold's lift, is there any thought towards potentially restarting that?
Luc Guimond: Sorry, you're talking about the stockpile? We processed all of that through the so as of the end of last year, we had processed all of the stockpiles. So as of now, we'll just be running out the residual leaching on the leach pad like.
Mike Parkin: Okay. And then just can you give us a sense of like what labor costs have increased that, but Island YD area year over year as like a percentage?
John McCluskey: Yeah, I mean, we have seen some inflationary pressures with regards to labor. We've modeled 6% in our business plan with regards to labor inflation across the business units.
Mike Parkin: Okay. And are you seeing that more for -- like more pressure on the construction side of things versus the operating side of things or is it about the same?
John McCluskey: Similar pressures on the construction side as well. I would say it's in that similar range of about 6%.
Mike Parkin: Okay. And then obviously you're already in Q2. The idea is to have this PDA maintenance development plan out this quarter. Can we get a bit of -- like is it a May thing, a June thing?
John McCluskey: Our expectation would be by the end of June on that, Mike. And we'll come up with the development plan with regards to our mining process as well as our milling process.
Mike Parkin: Okay. And will you guys be doing like any kind of teaching conference call around that?
John McCluskey: No, we're not expecting to do anything on with regards to that, with regards to PDA.
Mike Parkin: Okay. That's it for me guys. Thanks very much.
Operator: The next question is from Kerry Smith from Haywood Securities. Your line is open. Go ahead.
Kerry Smith: Luc, on the expansion target at Magino, you talked about 15000 to 20000 tonnes. Would the CapEx for that, can you give me a rough estimate as to what you think that might be if you were going to go to 20,000 tonnes a day and what it might involve?
Luc Guimond: I couldn't give you a number on that at this point, Kerry. It's really too early. I mean, I know Argonaut, we're already in a process to start looking at it, but it was very, very preliminary. And obviously post closure that's something that we'll take a harder look at and be able to provide more firmer numbers down the road.
Kerry Smith: Okay. And then when you think over the operation, you want to expand up to the 12,400 tonnes a day. What would the rough CapEx be to do that? And would that money all get spent this year?
Luc Guimond: No. Our estimate on bringing the plant to 12,400 tonnes per day is about $40 million in capital required. But that's an expenditure that would start to occur in 2025 and early 2026 that to tie into the Phase 3+ expansion being completed and coming online.
Kerry Smith: Okay. So most of it gets spent 2025, I guess and then 2026 as well?
Luc Guimond: For the most part, yes.
Kerry Smith: Okay, got you. And then you were saying in the press release you were getting 2.5 meters of advance now on the shaft sinking and you mentioned you're trying to get the 3 meters a day by the end of Q2. Is that the key advantage that you're budgeting to complete the shaft value at 3 meters? Or is there another incremental step up in that.
Luc Guimond: No other incremental step up. When they get to roughly it's about 3.2 meters per day we're expecting. And when they achieve that in the Q2, that's the rate they would sustain for the rest of the shaft project.
Kerry Smith: Okay, gotcha. And on the G&A, it was a bit higher in the quarter. You had given $28 million guidance for the year. So I was just wondering, Greg, are you still thinking you'll be in that range? Was Q1 slightly higher because there were some costs associated with some one-off costs associated with Magino or something else?
Greg Fisher: Yes. There was some one-off costs. I think we'll be between $28 million to $30 million for the year on G&A.
Kerry Smith: Okay. And that $28 million to $30 million would not include the costs associated with the acquisition of Argonau, right?
Greg Fisher: Correct. The transaction costs would be separate from that.
Kerry Smith: Got you. Okay. perfect. That's great. Thanks guys.
Operator: We have another question from Kerry Smith, Haywood Securities. Your line is open. Go ahead.
Kerry Smith: Okay. I'll take a follow-up, if you don't mind. Just on the transaction costs, Greg, when do you think those would be expensed like in which quarters or in just one quarter? Like how would it come through the income statement?
Greg Fisher: It would come through the income statement combined in the Q2 and in the Q3. Majority would probably be in the Q3 after close, because we expect to close in July. But we're estimating about $20 million expense between the two quarters with the majority being in the third quarter.
Kerry Smith: In the Q3. Okay. That's super helpful. Thank you. Appreciate it.
Operator: Thank you. There are no further questions at this time. This concludes this morning's call. If you have any further questions that have not been answered, please feel free to contact Mr. Scott Parsons at 416-368-9932, extension 5439. You may now disconnect your lines. We thank you for your presence.